Operator: Good afternoon, ladies and gentlemen, and thank you for holding. At this time, we would like to welcome everyone to CSN's Conference Call to present the results for the year 2020. Today, we have with us the company's executive officers. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the company presentation. And following this, we will go onto the question-and-answer session when further instructions will be given.  We have simultaneous webcast that may be accessed through CSN's Investor Relations website, ircsn.com.br where the presentation is also available. The replay will be available for one week. You can slip through the slide at your own convenience.
Marcelo Cunha Ribeiro: A good afternoon to all of you and thank you for participating in the fourth quarter and full year 2020 results call for CSN. This has been a special year for CSN where we obtained record results in several dimensions. We began the year with concern because of the pandemic, sanitary problems, financial problems, but we're ending it in a very positive situation. We have the health of our associates and the impact of the pandemic has enabled us to attain positive results. We have had very few serious cases in the company thanks to the stringent protocols. Financially we prepared for a war. These are the words that Benjamin tends to use a war that did not materialize and that was turned into a bonanza very stringently in cost, expenses investment and working capital; we were able to gain twice. We were rewarded with a quick recovery of volume and prices. We got to BRL11 billion EBITDA, and this year BRL4.8 billion and margins of approximately 80%. EBITDA also was transformed into cash. We had a cash generation record from operational improvement and working capital and we were able to reduce the debt. In this quarter, the debt reduction was BRL5 billion. And in general it attained BRL10 billion this before the third highlighted point, which is the IPO of CSN, Mineração, the conclusion of a very long period where we try to attain sustainable leverage. Now this process is over as we are now going towards 1.0 net debt EBITDA, but we are at a very sustainable debt level at present. These are the highlights for the period.
Helena Guerra: A good afternoon to all of you. It is a pleasure to be able to speak about social and environmental management. These are the pillars that we work on, and it is very gratifying to not only speak about very expressive financial and operational results, but also other results. We began to deliver these operational results because we have a very good background. We had a reduction of 19% in the frequency rate of reportable accidents. And of course we do prize our lives, our safety. We have an important change in communication. You know that we do a great deal more than we truly communicate. And, of course, we base ourselves on good communication and transparency. We like to offer information on our side. And here you will see some of the indicators that we have. We have 68,000 hectares that we preserve and protect. We have our operations in water. In 2020 we became signatories of the UN Global Pact and we're already working with all of the UN alignment and protocols. We have become fully independent from dams in terms of mining. We have decharacterized the first dam and we invested more than BRL 420 million in the environment and in social investments. In the CSN Foundation, we have a sustainability board that reports directly to the CEO and works with the different area directors. And this director will set forth goals speak about diversity, work with emissions, water and other material issues in the company. We have enhanced our rating and we remain with the FTSE4Good group and we ended the quarter and the year with all of these and the outlook is that 2021 will be even better. We want to be a model a benchmark for all of the other companies in all of these segments in which we are active.
Operator:  The first question is from Caio Ribeiro from Credit Suisse. You may proceed.
Caio Ribeiro: Good afternoon to all of you and thank you for taking my question. The first question is about sustainability and the margins that you delivered in the steel business which will be the evolution of this margin in the first quarter and the price transfers that you have for this quarter. What will happen with your margins? Secondly, in terms of dividends, you have a payout of 25% of net revenues until you are able to conclude your deleveraging. Presently your rate is at 2.2 times. And with the conclusion of the IPO this should drop even further, which will be the ideal timing to review your dividend policy and begin to distribute your cash surplus to shareholders. Which would be an ideal level of indebtedness that would give you this cash surplus for the company?
Luis Fernando Barbosa Martinez: Hello, Caio. This is Martinez. In terms of the 25% margin that we had in the fourth quarter, we'd like to explain what is happening in this first quarter. We have a price carryover that is given of about 25% only. The price carryover in the fourth quarter it was 19%. And in the first quarter, the carryover of prices will be 25%. There is a favorable world situation. It is very difficult to import in Brazil.  The US market and the Asian markets are working domestically with very few imports. Besides this, we need to keep in mind that account that I always mention to produce one ton of steel, you need 1.6 of iron ore and 0.6 of coal. In January of 2020, iron ore was 94, at present it is 73. Coal was 144 it now stands at 149. And the exchange rate which was 4.06 is now 5.50. If you put all of these together and include it in general calculations, we would have to increase our prices 105% in the first quarter. Besides the price carryover, we will probably have another increase in March for distribution focused on the cold and hot products. And there's a part of the assembly parts that will be part of the first quarter.  In the second semester because of the CSN contracts that are somewhat different from local competitors, we signed quarterly contracts and we will have this carryover for assembly plants of about 20%. This is a given. There's nothing we can do it refers to the past. This is what we have in terms of prices and margins for the first quarter. 
Benjamin Steinbruch: This is Benjamin speaking, Caio. The question you posed is very important in terms of price. It may seem surprising to have price increases. They may seem too steep, but what Martinez mentioned about the 25% carryover and the outlook of new price increases for March all of this is due to the moment in which we are. At present, if you go to market, you will have slabs that cost $750, but we have none for delivery. If you want to buy slabs it is probable that they will only be available for delivery in May and they would arrive in Brazil in June or July. The increase in the raw material is maintaining a high and continuous price in what we deem to be a reference slab.  This is almost a third quarter in which this happens. It's very little probable that we will have to have these increases in the first quarter and in the second quarter as well aside from this carryover. And in terms of iron ore, for example, the average price for the first quarter of 2021 is $170 in the stock market you will close for March at $169. The quarter will be above $170. And then, we have the second quarter even higher. So the prices are given in terms of the near future at least, which means that, mandatorily, we're not having price increases, we're having cost updates to be able to remain competitive and within the market margins. Brazil is part of the international price standards and I see the need to have a new price increase in March and probably another one in the second quarter, once again due to the reality of the international market.
Caio Ribeiro: Thank you. Thank you, very much Benjamin, Marcelo and Martinez. Very clear answers.
Operator: Our next question comes from Daniel Sasson from Itaú BBA. You may proceed Mr. Sasson.
Daniel Sasson: Good afternoon to all of you. Thank you for taking my question. My first question is a follow-up of the previous question. When it comes to prices Martinez, that increase that you will announce for March. If you could comment on the parity of imports in Mexico for example, where you work with imported products and if this level of premium could be even higher than the 5% or 10% historical level because of the difficulty of importing products. My second question refers to the cement business. We saw an improvement of prices, volumes and margins. But without a doubt, there is still room for a greater increase in margins and volumes this year as well. Which is the potential that you believe this business group can attain, when you speak about price and the use of capacity once all of this has been fully normalized?
Luis Fernando Barbosa Martinez: Hello Daniel. I will respond to the first question referring to prices. This is important. And to add to what was said by Benjamin, the price increase is due to a recomposition of costs. And we take into account four points, the supply/demand equation, which is very favorable. All markets have growth. The automobile market, agricultural, civil construction packaging, all have a favorable supply-demand equation from the viewpoint of cost. Coal was at $110, we now buy it at $140 or $150. Additionally, CSN buys pet coke and pays $480 to $500 for it highly appreciated. And iron ore of course in the range of $170, $175. When it comes to imports to give more color to what is happening, the Chinese blast furnaces work with a level of utilization of 84%. And in China, there is a reduction of the tax rebate for the imports of about 13%, which will also benefit the world market. They will have to stop importing and foster internal growth. And in the retail market in the automobile sector, growth is still strong. In terms of prices, I'm considering a BQ in China, although it is not available for sale at $640, $650. If you calculate the premium, it's 12% to 15%. And in galvanized material where we have a greater share, it is 15% or 16%. Regarding your question about price elasticity, there is elasticity. In Brazil, we had premiums of more than 20% with a good demand/supply equation. We have to recompose the prices in Brazil. And while the market is favorable and the import equation is favorable, we're going to work with the highest profitability possible. This is the challenge we have in the steel business always focusing on the full production, a focus on the domestic market, added value, fragmentation. We don't want to have all of our eggs in the same basket. And in the United States, Europe and Portugal we will work as local players. This is how we plan to work during the year 2021. I don't know if this is clear or if you have additional doubts. 
Daniel Sasson: No. That's excellent Martinez.
A –Unidentified Company Representative: Daniel, this is Edvaldo. Let me give you a panorama of what we are thinking. We ended the fourth quarter with a run rate of about BRL 4 million. And obviously as in the steel business we have a cost pressure. The pet coke which is imported had a significant increase in the second semester with an impact this year. This means that in cement as well, we're going to have to continue to recover our prices as we are working with prices that are still below the historical levels. There is room to increase the prices effectively. And we also have to allow for room for volumes to grow. We work with one million tons and we have the room to grow 15% or 18% in this year and in coming years if we have the demand of course. Basically we're working with a very limited cost with a very high efficiency in terms of SG&A. And we're going to be working with EBITDAs above BRL 500 million despite the price pressures that we feel and that we have mitigated through our internal efforts. 
Luis Fernando Barbosa Martinez: Daniel simply to complement what was said by Edvaldo, the historical cement prices in the southern region, and historical means a series that began in 2011 up to present, it is BRL 320 per ton. At present this is 22% below what we practice. In reais, of course, we have the exchange rate working against us. In Brazil, we have the lowest cost cement in the world. In the US, $110; Europe 120; in Europe 90 to 140, 22% to return to historical levels. In the North and Northeast regions this would be 24%, 28%. We believe that as the market moves towards a better supply and demand and cost relationship, we will be able to recover historical levels this year still.
Daniel Sasson:
Operator: Our next question is from Leonardo Correa from BTG Pactual. You may proceed sir.
Leonardo Correa: Can you hear me?
Marcelo Cunha Ribeiro: It’s a bit muffled, but we can hear you.
Leonardo Correa: I do apologize for that. The first question is for Marcelo. In the introduction, you made it very clear that the market has always requested from you. And of course the scenario was favorable to deliver a very good EBITDA in 2021. Now the cost of debt still continues to be very high if we work with comparables. If you could speak about your expectation going forward which is the type of debt reduction that you expect in the future? And beyond this, if you could speak about the outlook for M&As, I believe a second question that is more strategic. Of course you are working in a very strategic way and cement seems to be opening up a new avenue. But I would like to understand what are your priorities with steel because steel is generating very good results with a significant improvement. And in terms of your priority list what is it that you would like to begin doing simply so that we can understand which is your strategic thinking? And another quick question. You're speaking about a carryover of 25% in the first quarter with a price increase that has already been announced. Simply to dissipate confusion you're speaking about net revenues in the domestic market. Your net revenues are going to increase 25% in the domestic market is this what you're saying? 
A –Unidentified Company Representative: Well let's begin with your last question Leo. It's exactly what we are discussing to review this. Fourth quarter 2019 the average price was 319 then we went to 357, the fourth quarter 226. And based on this 226 we're going to apply this 25% increase. The average price will increase 25% in the quarter. And of course we will have an increase in cost. The slab will go from BRL 1200 per ton to BRL 900 per ton because of the raw material that I just mentioned. Now the increase will offset the increase we will have in costs and go beyond it. In terms of our debt profile we have a great deal to gain. Our indebtedness is ever more concentrated. In the capital market there is a reduction of debt with the banks. We began this 3.5, 4 years ago and the bonds that we're going to issue have coupons of about 8%. We're going to market now for these coupons of less than 5% for much longer terms. We're referring to 300 base points on BRL 20 billion. BRL 600 million a year of savings basically which is quite significant. When it comes to the priorities in cement and steel the issue of raising capital in mining was very specific. It was specific because of its size this could be used to deleverage CSN. And because it had had several years in which it increased the volumes threefold and it needed this capital to grow. Now it seems that cement will be next because they also have a growth plan and a market moment that is in accordance with this organic projects that are very special with limestone reserves that have already been reserved in very attractive markets where there is little competition. I'm referring to markets in the south the north and northeast where the prices are higher. And if you recall, we have plants in Sepetiba and another in Holland that could begin to work to come into operation with projects in approximately 30 months. These are highly interesting organic projects. And on the other hand there is a possibility of a consolidation in the sector. There are minor players with limited financial capacity to grow. And CSN has this natural vocation to work in consolidation. And we see that still is an exceptional moment and we're going to use the cash to sustain for productivity. We're going to invest in centering and the maintenance of the steel mill. In methodology, we're going to add more value. But this doesn't require a structural movement like an IPO. This is our strategy for the time being.
Leonardo Correa: Okay. Thank you very much.
Operator: Our next question comes from Thiago Lofiego from Bradesco BBI. You may proceed sir.
Thiago Lofiego: Thank you. Good afternoon. Martinez, if you could remark on the dynamic of demand in the short and long-term. When we think about your inventory you have been speaking about the inventory for some months. And we were thinking that in the fourth quarter, this of course would be reduced. Which is your order book for the coming months? And what will happen going forward? The second question refers to long steel more specifically, if there is room for price increases. According to our accounts, there would be this room, but of course, the supply dynamic is somewhat different.
Luis Fernando Barbosa Martinez: Thiago, simply to review this, 2020 the Brazilian market for flat steel stood at 12,000 tons, which is very good considering the pandemic. Now CSN, with poor market figures, they could have been worse, because of the pandemic had a 2% growth. In long steel, the market was different. The market grew 5% vis-à-vis 2020, because of construction. Because of the decrease in interest rates, the market was stronger than it usually is. In terms of the restocking in the market, what do we see for 2021? We are projecting – well, the IABr is projecting a growth of 5.3%. CSN will grow from 12% to 15% in 2021. In 2021, the IABr says 6%. CSN is limited to 230,000, 240,000 tons a year and we're working at full steam. In terms of sectors, to justify what happens in the market, Industry in general has a forecast for growth of 68%; the automotive sector with a sales increase of 15% approximately and a production increase of 25%; other sectors like trucks, agricultural machinery with a growth of two digits. What the market has presented and this was consolidated yesterday and the AIBr figures, is that the market is growing strongly. If we look at the figures yesterday from INDA, the inventory hasn't been set up yet. We have a lack of raw material inventory intermediate raw material. This goes all the way to the vehicle. If you go to buy a vehicle today, you have a waiting period. So this restocking hasn't even begun. It should go beyond the first quarter. Now because of the steel, we have a slowdown in the first quarter, but there will be an accommodation in the second quarter. What is more positive is that all markets have a growth, as Edvaldo said in terms of cement. Because of civil construction in long steel, flat steel and cement, we're beginning a new real estate cycle in Brazil. And we believe the market will grow continuously 6% a year. In long steel, we had an increase of 15% in January and 15% in February. CSN has the highest market price for long steel, because we have a limited capacity. And the long steel depends on iron ore. And we also have historical levels in terms of -- well what we're doing is recomposing costs and -- because the scrap is even higher than the increase in iron ore. I don't know if you have understood the dynamics that we have in terms of prices. I would like to confirm the following: CSN will grow 15% in volume this year. Long steel -- in 2019, we produced three million tons; in 2020 3200. And this year we will end at 3.6 million tons for the domestic market. For exports, we're going to supply the amount of galvanized products to the US and we're going to continue to supply what Lusosider needs. If the market is stronger we're going to leave the material here instead of exporting to Lusosider. So we're going to be working full with a blast furnace with a volume of 4,500,000 tons for 2021.
Thiago Lofiego: Very good. Martinez, if you allow me another question in terms of premiums. The premium today in my accounts is above 10%. Do you think that a higher premium will bring you higher prices? Because in January you had a plan of exports of 14% of the demand I believe if I'm not mistaken. 
Luis Fernando Barbosa Martinez: I don't see any concern in this. There's a distortion in the figure of January. Some slabs were returned from the United States. They were in the free zone. We have brought them to the domestic market to service the national market. There's 50,000 that is CSN that will become material for the local market. Now when it comes to the premium, we're working with 640, 650 for the Chinese BQ. And it's not available to buy. And as Benjamin said, you won't be able to place any products before May. The premium is somewhat higher than 10% standing at 12% or 15%. According to the exchange rate with this premium and with the supply and demand situation and with controlled imports with the exception of galvanized material, I don't think we will have any problems in working with premiums that are higher than the historical ones. We're not going to allow for an invasion of imported products in Brazil. The import penetration at the most has to be 10%. It will not reach 14%. We suffered in 2010 when it reached 30%. We're going to work with this favorable equation for the domestic market. 
Thiago Lofiego: Very good. Thank you, Martinez.
Operator: Our next question in English comes from Carlos De Alba from Morgan Stanley. 
Carlos De Alba: Thank you very much. Just a question regarding the liability management program. Marcelo has this been completed? What you highlighted in the second part of that chart for the first quarter is that done, or is it something that you're still working on? Can you give us a little bit more details what banks are involved on this? And when should we expect the closure of these initiatives? And then as the company continues to do a good job in significantly and rapidly reducing the leverage now. Why wouldn't the company change the dividend policy towards something closer to cash flow generation? And the company manages working capital quite well. It also has lower CapEx than peers. And we have seen global peers in particular, but also Vale moving towards a dividend policy much closely aligned with cash flow generation. Why wouldn't CSN do that, throughout 2021 or in 2022, once your balance sheet is definitely much stronger? And you reached your target? And if you are not prepared to do that, is it because the company has plans for expansion into other businesses, or in the current core business of the company, but you want to expand further? Thank you very much.
Marcelo Cunha Ribeiro: Thank you, Carlos for the questions. Now the conditions that we set forth in the simulation are things that we have in hand. These are discussions that we have been holding with the banks. And you are aware of the banks. We have three or four relevant banks that in 2017 we worked with. And in different conditions, we could work with a new stage at present. We already have this in hand. And we will implement this in the coming 45 days. This also applies to the capital market where we have been very active. It's open to all the companies with our profile. We're going to seek the best moment, as the coming week we will have a positive action in terms of our ratings. Regarding the dividend policy, as I responded previously, once we comply with a 1.0 net debt EBITDA and BRL15 billion in debt, our distribution of dividends will be equivalent to our cash generation. And this is something that CSN will consider. But beyond the 2022 horizon, this will be done without the leveraging. As Benjamin said, we are going to grow. We're going to grow sustainably, using the equity and the individual businesses. I hope, that I have responded to your question.
Carlos De Alba: Yeah. That's clear, Marcelo. And just coming back to the cement business, maybe it was in the English call. It wasn't very clear to me, whether or not the cement business is -- if the company is considering to IPO the cement business or not? And if so, what are the times that you are contemplating? Thank you.
Marcelo Cunha Ribeiro: The IPO is not a goal in itself. The IPO is something that will enable us to grow, a healthy and sustainable way to grow. And growth projects are moving forward. They are organic projects as well as consolidation projects. And it is the pace of the projects that will dictate the potential of IPO. It could happen this year, because we have favorable wins. But we're -- we can't control this. We are prepared. The company has been created legally. We have done the work for this. We could have an offer in the short-term. But it is the pace of growth that will dictate the pace of the IPO.
Carlos De Alba: Great. Thank you very much.
Operator: With this we would like to end the question-and-answer session. We will return the floor to Mr. Marcelo Cunha Ribeiro, the CFO and IR manager for his closing remarks. You may, proceed sir.
Marcelo Cunha Ribeiro: I would like to thank all of you who have been with us today in a day of celebration for CSN. We listed CSN Mineração. We have very special results to celebrate. I would like to thank all of you for your presence. Have a good afternoon.
Operator: Thank you. The CSN conference call ends here. You may now disconnect. And have a good day.